Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Runway Growth Finance Third Quarter 2022 Earnings Conference Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Mary Friel, Assistant Vice President, Business Development and Investor Relations. Please go ahead.
Mary Friel: Thank you, operator. Good evening, everyone, and welcome to Runway Growth Finance Conference Call for the third quarter ended September 30, 2022. Joining us on the call today from Runway Growth Finance are David Spreng, Chairman, Chief Executive Officer, Chief Investment Officer and Founder; and Tom Raterman, Chief Financial Officer and Chief Operating Officer. Runway Growth Finance's third quarter 2022 financial results were released just after today's market close and can be accessed from Runway Growth Finance's Investor Relations website at investors.runwaygrowth.com. We have arranged for our playback of the call at Runway Growth Finance's web page. During this call, I want to remind you that we may make forward-looking statements based on current expectations. The statements on this call that are not purely historical are forward-looking statements. These forward-looking statements are not a guarantee of future performance and are subject to uncertainties and other factors that could cause actual results to differ materially from those expressed in the forward-looking statements, including and without limitation, the uncertainty surrounding the COVID-19 pandemic, changing economic conditions and other factors we identified from time to time in our filings with the SEC. Although we believe that the assumptions on which these forward-looking statements are based are reasonable, any of those assumptions can prove to be inaccurate, and as a result, the forward-looking statements based on those assumptions can be incorrect. You should not place undue reliance on these forward-looking statements. The forward-looking statements contained on this call are made as of the date hereof, and Runway Growth Finance assumes no obligation to update the forward-looking statements or subsequent events. To obtain copies of SEC-related filings, please visit our website. With that, I will turn the call over to David.
David Spreng : Thank you, Mary, and thank you all for joining us this evening to discuss our third quarter results. I'd like to start by providing an overview of the quarter, operational highlights and a brief market update. Runway Growth generated record third quarter originations and net investment income results fueled by disciplined execution against our strategic initiatives. Our success underscores our credit-driven investment process, which provides the downside protection of debt with the potential for upside of equity. Runway Growth's weather-proof platform has been built to navigate all operating environments. This call marks a little over a year since Runway Growth went public. As we prepared for life as a public company, we believe we had significant opportunity for portfolio growth, ROE expansion and to build what we believe to be the most stable portfolio among our venture lending peers. We knew that we would do this by deploying leverage to accelerate prudent portfolio growth, while partnering with the highest quality late-stage companies in the venture market. Over the last year, Runway Growth has delivered gross fundings of $585 million, resulting in 55% net portfolio growth; expanded ROE 130 basis points to 10.1%, nearly quadrupled our leverage ratio to 0.6 times; strengthened our balance sheet with diversified capital sources; recorded zero realized credit losses; and increased our dividend per share for four consecutive quarters from $0.25 to $0.36 per share. This has been a historic year for our company and we believe there is ample room to run for the balance of 2022 and into 2023. Runway Growth represents a compelling opportunity for investors that are looking for stable returns generated from partnering with some of the highest quality growth companies in the market. Now let's dive deeper into the third quarter. We are pleased with our ability to originate and structure high-quality senior secured debt investments and deliver significant portfolio growth. As we predicted at the start of the year, the cost differential between debt and equity capital continues to increase. And that remains a tailwind for our platform. Our investment team has built the strongest pipeline we've seen, which demonstrates the growing demand for our financing solutions amidst the current market environment. Many of the companies in our pipeline are seeking nondilutive capital to take the next step in their development without giving up significant equity. Companies that are seeking rescue financing are quickly weeded out. We're lending to companies that can raise equity, but choose not to in order to preserve ownership positions and expand their businesses. We delivered our strongest third quarter of portfolio growth historically, completing nine investments in new and existing portfolio companies. This represents $216 million in new commitments, including $161 million in funded loans. In addition, we closed two transactions totaling $64 million in funding subsequent to quarter end.  We increased our core leverage ratio from 0.4 to 0.6 times in the third quarter. Additionally, we strengthened our liquidity position by upsizing our KeyBank credit facility, on which Tom will provide additional details momentarily. We delivered total investment income of $27 million and net investment income of $15 million in the quarter. This is up 47% and 35%, respectively, from the prior year period. Net assets were $574 million at the end of the third quarter, up 14% from $504 million in the prior year period. These results, and particularly the growth, demonstrate the demand for our creative financing solutions. We are pleased with the consistent strength of our credit quality. This is a direct result of our disciplined underwriting and monitoring processes. Our work with portfolio companies continues throughout the life of our loans. We believe Runway Growth monitoring process ensures that we are accurately marketing these investments and mitigating risk while achieving consistent stable yield. We view our risk mitigation process as a competitive edge and a key method to preserving credit quality. We can see that through our loan-to-value comps. For an apples-to-apples comparison, we calculated the loan to value for loans that were in the portfolio at the end of Q2 and Q3. In comparing this consistent grouping of loans, our dollar-weighted loan-to-value ratio held consistent at 21% to 22% in the third quarter. As we've said, it may be more accurate to call this metric loan to our value, this is because whenever we conduct due diligence, our credit team takes an extremely conservative approach to valuation. We're not solely basing a portfolio companies' enterprise value on the last round of fundraising. Runway Growth has always used proprietary processes to insulate our underwriting rigor from frothy evaluations. Looking ahead, we believe the rising interest rate environment and industry tailwinds will contribute to Runway Growth's momentum. According to PitchBook Data, U.S. Late-stage venture activities slowed during Q3, which was further constricted by a lack of start-up liquidity. Year-to-date, late-stage company deals were down from 2021, but still well above 2020 levels. The median deal value, however, continued to decline. In other words, late-stage companies are continuing to raise equity capital but it's smaller increments than in previous two years. We believe late-stage companies are deciding to execute smaller deals because they're scaling back growth, focusing on profitability, and being offered more onerous terms at lower valuations. In the third quarter, U.S. venture capital deal value was $195 billion year-to-date, surpassing the total value for full year 2020, which was $169 billion. Similarly, venture debt deal value exceeded $22 billion and continues to grow as late-stage companies embrace debt as a means to reach additional milestones and avoid dilutive equity financing. This trend points to venture debt untapped potential and bodes well for Runway Growth's nondilutive capital, which we believe is only becoming more attractive. We are positioned to take advantage of declining VC equity valuation as venture debt is increasingly being utilized to support the needs of entrepreneurs. More companies are looking at debt as an alternative or complement to new equity, positioning runway for future growth. Given the momentum we have in the market, we look forward to closing out our first full calendar year as a public company. I will now turn it over to Tom.
Thomas Raterman : Thanks, David, and good evening, everyone. Runway Growth completed nine investments in new and existing portfolio companies in the third quarter representing $216 million in new commitments, which included $161 million in funded loans. Runway's weighted average portfolio rating increased to 2.2 from 2.1 in the second quarter. As a reminder, our risk rating system is based on a scale of one to five, where one represents the most favorable credit rating. At quarter end, we continue to have only one portfolio company rated five and on non-accrual status. We attribute this to the partnerships we form with portfolio companies. We conduct extensive due diligence and risk analysis that meaningfully informs our underwriting and subsequent monitoring programs. This order of operation optimizes deal terms for us along with our borrowers. If one of our companies goes on nonaccrual status, we evaluate ways we can work with management to bring it back to a performing loan, while best protecting our interests as the lender. Our mission is to support passionate entrepreneurs that lead best-in-class, late-stage companies by positioning them for success from term sheet to final payment. At the end of the third quarter, our total investment portfolio, excluding U.S. treasury bills, had a fair value of approximately $910.2 million, compared to $807.7 million at the end of second quarter and $586.4 million for the comparable prior year period. This represents a sequential increase of approximately 13% and a year-over-year increase of 55%.  As of September 30, 2022, Runway Growth had net assets of $573.7 million, decreasing slightly from $579.4 million at the end of the second quarter. NAV per share was $14.12 at the end of the third quarter compared to $14.14 at the end of the second quarter. We're pleased with our stable NAV, which we feel reflects industry-leading levels of scrutiny. Every material position in our portfolio is reviewed on a quarterly basis by a third party, ensuring confidence in our marks. From a credit spread perspective, we continue to see an encouraging environment attributable to our focus on late- and growth-stage companies with proven business models. Credit spreads are stable and other terms are becoming slightly more favorable to lenders.  With respect to interest rates, we want to remind everyone, our loan portfolio is comprised of 100% floating rate assets. Near term, we believe the current rising rate environment will have a positive impact on portfolio yield and net investment income. In the third quarter, we received $55 million in principal repayments, a decrease from $80.6 million in the second quarter of 2022. We expect prepayment activity to slow since equity is so expensive and refinancing markets remain challenged. That said, we have attractive late-stage companies that could become opportunistic acquisition targets in any environment, making it difficult to predict future prepayments. In the third quarter, we generated total investment income of $27.3 million and net investment income of $14.5 million compared to $18.6 million and $10.7 million in the third quarter of 2021, driven by an increase in the size of our portfolio. Our debt portfolio generated a dollar weighted average annualized yield of 14.4% for the third quarter as compared to 15.3% for the third quarter 2021. Moving to our expenses. For the third quarter, total operating expenses were $12.8 million, increasing from $7.9 million for the third quarter of 2021, driven by an increase in management fees, incentive fees, interest expense as well as expenses related to being a public company. Our performance-based incentive fee was $3.6 million for the third quarter compared to $2.7 million for the third quarter 2021. Our base management fee was $3.1 million, up from $2.3 million in the third quarter of 2021 due to the increase in the average size of our portfolio. Runway had a net realized gain of $0.4 million for the third quarter, which compares to a net realized gain of $0.7 million for the third quarter of 2021. We recorded net unrealized depreciation of $3.2 million in the third quarter, largely due to the decline in fair value of our loan to Pivot3 and public equity holdings in FiscalNote.  Weighted average interest expense was 5.5% at the end of the third quarter, increasing from 4.1% during the second quarter 2022. End-of-period leverage was 60% and asset coverage was 266% as compared to 40% and 349%, respectively, at the end of the second quarter 2022. All investments in the third quarter were funded with leverage as part of our strategy to generate non-dilutive portfolio growth. Turning to our liquidity. At September 30, 2022, our total available liquidity was $255.8 million, including unrestricted cash and cash equivalents, and borrowing capacity of $250 million under our credit facility, all subject to existing terms and conditions. This compares to $123.8 million and $117 million, respectively, on June 30, 2022.  During the third quarter, we strengthened our liquidity position by upsizing our KeyBank credit facility to $425 million from $280 million to fund portfolio growth with cost-effective debt capital. In addition, we issued $100.5 million in unsecured notes during the quarter. Runway Growth continues to be judicious in deploying capital at favorable terms, while maintaining market-leading credit quality. Our credit quality is a reflection of our rigor across the entire life cycle of a loan, including sourcing, negotiating, underwriting and monitoring.  An example of this is our pipeline development. We are very targeted with respect to the industries we're in and where we want to go. We are more concerned with long-term returns than being early adopters in the space, which is why we have no current exposure to the Web 3.0 and crypto spaces at this time. We will continue to prioritize credit quality at every stage. With the lowest balance sheet leverage among the BDC industry, we believe Runway is strategically positioned for the current macroeconomic backdrop. We have dry powder and credit disciplines to use it judiciously. We remain on track to achieve our core leverage target for the portfolio, which is between 0.8 and 1.1 times by the first quarter of 2023. As leverage builds, we believe it will unlock the full potential of our earnings power. We have the ability to grow our portfolio and, in turn, earnings without raising equity. Before taking into account prepayments, we have the ability to grow our portfolio by approximately $286 million without exceeding our core leverage targets or returning to the equity markets. We also believe our strong portfolio quality would allow us to exceed our upper leverage target for periods of time, providing us great flexibility in timing any return to the equity market. Earlier this year, our Board of Directors approved a stock repurchase program to acquire up to $25 million of Runway Growth's common stock. The program expires on February 23, 2023. Runway Growth used the program during the quarter and senior management was active in purchasing shares. Finally, on October 27, 2022, our board declared a dividend distribution for the fourth quarter of 2022 of $0.36 per share, a 9% increase from our third quarter dividend of $0.33 per share and our fourth consecutive quarterly dividend increase. I'm encouraged by the momentum in deal flow as latest-stage venture-backed companies turn to Runway Growth, as the preferred lender for minimally dilutive capital. As we originate high-quality loans, we expect our intentional deployment of leverage to enhance ROE and long-term shareholder value. This concludes our prepared remarks. We'll now open the line for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Mickey Schleien from Ladenburg. Your line is open.
Mickey Schleien : Yeah, good evening. David, a couple of questions. You talked about the fact that your investment thesis in the sector remains intact in terms of the attractiveness of the type of funding you provide. I just want to further understand how is the volatility in the market? And in particular, the rising interest rate environment, whether we're looking at LIBOR or SOFR sort of impacting the organic demand for your capital as opposed to refinancings, which we understand it will be suppressed under this environment.
David Spreng : Yeah. So great question. The major tailwind is, as we highlighted, that debt remains cheaper than equity. And as you pointed out, debt is getting a little bit more expensive with rising interest rates. But equity is dramatically more expensive with valuations half of where they were, and now, in today's market, coming with onerous terms.  So venture-backed companies, particularly the best ones, the ones that could raise equity if they want to, are deciding not to and are looking at debt as a better solution -- a less expensive solution. Certainly, less expensive from dilution. However, the cost of interest is higher, but it's not a meaningful portion of the expense budget for any of these companies. The average loan to value is sub-20%. And interest is just not a big factor in terms of their consideration. And you have to consider from their point of view, it's really what are they going to do with the money and what's the return on the investment. And if they can double their top line without giving up any additional equity and in the process, double the value of their business, that's far exceeds the cost of the interest. So we really have not had a huge amount of pushback or people looking for fixed rates. I mean we're really fortunate to have zero fixed rate loans, and we just don't do that. So -- and the feedback from the market is, of course, we don't like rising rates, but it's still cheaper than equity and we still get a really good return on our investment.
Mickey Schleien : So, David, with those comments you just gave us in mind, how would you characterize the size of your pipeline today versus a year ago? And perhaps even more importantly, the quality of the pipeline.
David Spreng : Yeah, I'm glad you added that. So the quantity has never been bigger and the quality, and this is subjective, but has never been higher. So the higher -- I would say, the highest quality of companies are coming to us. And one of the reasons is, of course, the expense that's associated with equity, but also the fact that some of the folks that were most active in providing, let's call it, the latest possible stage pre-exit money have exited the market, hedge funds, for example, even SoftBank.  Some of the funds that were honestly a competitor to us, because if you could raise equity capital at $2 billion, then that's really not very dilutive. And it gives you a nice press release that it makes the employees feel good and all of that kind of stuff, but we're not seeing that today. So there's less competition from equity. And as a result, the quality of the companies we're seeing has never been higher.
Mickey Schleien : I appreciate that. My final question, I'm not sure how to look at the performance of your portfolio companies relative to the typical BDC. In this economic environment, we're -- I mean, we're generally seeing BDC portfolios producing revenue growth more or less in line with inflation, but margins coming down. Is that also true in your venture space? Or are these companies at such high growth trajectories that they haven't been affected yet by the slowdown in the economy and the sort of cost input -- increases that we've seen?
David Spreng : Well, it's difficult to generalize. We have a very diversified portfolio across three broad segments: tech, life sciences and consumer. On whole, the portfolio is still very much in growth mode. I think you're seeing some companies having changed their forecast for 2022. But by and large, for the most part, I mean, out of roughly 30 companies, call it, five -- four or five have reduced their plans. So most companies are still achieving the revenue plans that they put together at the end of last year, early this year. And I'd say we're seeing that impact more in the consumer than we are in the tech and life sciences verticals.
Mickey Schleien : And David, I'm sorry to keep asking questions. But based on what you just commented, have you started to see 2023 projections for these companies? And are they being more conservative relative to where they were before?
David Spreng : So we, of course, have a 2023 plan for every company, but we haven't really started to see the official, let's call it, Board-approved plan yet. So I can't really give you feedback. Just in talking to companies, I would say, they're taking a cautionary view. Of course, they still want to grow and they're still going to continue to invest in growth, but they're being a little bit more thoughtful on it, and there's probably a plan B.  And I'd say especially as it relates to hiring, because it's one of the biggest expenses for almost all of our companies, that is being paced, I would say. Like we'll hire, but only when we really need it and maybe a little bit slower than we might have otherwise. So bottom line, my answer to your question is, no, we have not started to see 2023 official plans yet.
Mickey Schleien : Okay. That's it for me this evening. I appreciate your time. Thank you very much. 
David Spreng : Thank you.
Operator: Thank you. Our next question will come from the line of Casey Alexander from Compass Point. Your line is open.
Casey Alexander : Hi, good evening. And thank you for delaying your call till 6 o'clock. I know it's pain but with everybody else diving in at 5 o'clock it's actually less stressful at 6 o'clock. So I appreciate that. 
David Spreng : Well we appreciate you too.
Casey Alexander : You actually had reasonably almost robust sales and repayments of investments compared to much of what we've seen across the venture debt universe, especially relative to your size. Could you give us some color as to where they came from, what some of the circumstances are? Because your ability to recycle is as important as your ability to originate, and seeing paybacks in this environment is actually quite encouraging.
David Spreng : Yeah. Well, let me just make an overall comment, and then Tom can provide some details. But prepayments are very difficult to plan or project. We get -- if there's an M&A transaction that's been in the works, we'll know about that. Certainly, if a company is looking to go public, we'll know about that. We did have one company that actually did get public by SPAC. So we're -- we get a little bit of warning, but it's hard to plan.  And so it is an inevitable part of our business. And I think we're going to see less M&A activity, less -- certainly fewer IPOs and probably fewer of any SPACs. So I expect the volatility to probably slow down a bit over the next year, but I think we're going to see more private-to-private mergers, where two venture companies will merge together. And that can be a good situation for us because it usually gives us the option to decide if we want to stay in or if we want to get refinanced out.  So I don't know, Tom, do you want to add some color on specifics?
Thomas Raterman : I would just say that some of -- there were two refinances, both of which we participated in, one of which was a broader syndication. This is for the SPAC company that allowed us to reduce our exposure a little bit. And because it was the right thing to do for the company to diversify its funding sources, but still stay in the loan.  I think in terms of predictability, there are some very attractive late-stage companies that are in process of always evaluating opportunities and that could flow through. So we do expect some level of recycle, probably more from M&A and less from refinance. There are some loans that are now converting into the end of the interest-only period and will start amortizing. But again, hard to predict, but we do expect the opportunity to recycle. We'll be -- it won't be as robust as 2021, but it will still be reasonably meaningful.
Casey Alexander : Okay. Secondly, and this is just kind of an oddity that I noticed. In the second quarter, your PIK income jumped up about $2.5 million over the first quarter. And then in this quarter, it dropped right back, actually to a level even lower than where it was in the second quarter. And I'm just curious how that cadence occurred in terms of PIK income? And was it just a one quarter pass that you gave a company? Or how that came about?
Thomas Raterman : That was the collection of the income that had been PIKed -- the interest that had been PIKed on Mojix. If you remember, Mojix was a long-time category five and non-accrual loan. We had a long-term plan to work with that company and see it through to sale. And it was sold in second quarter, and therefore, we were able to recognize all that previously deferred PIK income. So it's not -- it was the second quarter aberration.
Casey Alexander : All right. Great. Thank you. That explains it. All right, thank you for taking my questions.
David Spreng: Yeah, of course. And we should clarify. As a normal course of business, our loans are cash paid. So that was that workout situation where we just got it all after five years. So all right, we can go to the next call, please.
Operator: Thank you. Our next question will come from the line of Bryce Rowe from B. Riley. Your line is open. 
Bryce Rowe : Thanks very much. Good evening, thanks for taking my question. I wanted to, Tom, ask you. It looks like you're almost a bit more asset sensitive here at the end of September than you were at the end of June. I think if you look in the presentation from last quarter to this quarter, that 200 basis point move in LIBOR will have a positive impact of $0.34 on NII versus $0.30 last quarter. I mean not a huge jump, but just curious what's driving the increased asset sensitivity.
Thomas Raterman : Well, the portfolio is still floating rate, but now we've added during the second -- during the third quarter, $100 million in fixed rate notes. So as the interest rate goes up, we're not fully matched SOFR to SOFR as if it were financed against the revolving credit facility. So we'll get the benefit of those two new fixed rate tranches in our capital structure.
Bryce Rowe : Okay. That's helpful. Thanks. And then, David, I think in your prepared remarks, you mentioned spreads being stable here, which is a good sign, but other terms might be shifting to in the favor of lenders. So I just wanted to see if you could possibly expand on that comment.
David Spreng : Yeah, of course. So spreads are pretty stable, which is good. The terms that we see improving our in covenants and in warrant coverage, where we're just able to get marginally better warrant position. And importantly, and the thing we care the most about, is just able to get either more covenants or tighter covenants, which we view as beneficial to both the lender and the borrower. And we've been pretty successful at communicating that to potential borrowers and convincing them that a properly structured covenant package makes sense for both parties.
Bryce Rowe : Great. That's helpful. Thanks. And then maybe one more for me, Tom. You highlighted the increased commitment level for the revolver, just curious if you're adding lenders to that? Or is that existing lenders upping their commitments?
Thomas Raterman : No. We are adding lenders and the -- there's (inaudible) $500 million on the facility, we were at $425 million at the end of Q3. And we're always looking to diversify that lender base, and we'll continue to do that, as well with all of our, frankly, sources of debt.
Bryce Rowe : Great, thanks so much. That's it for me. 
Thomas Raterman : Thank you. 
David Spreng : Thanks, Bryce. 
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Melissa Wedel from JPMorgan. Your line is open.
Melissa Wedel : Good evening. Thanks for taking my question. The first is actually more of a clarification. I want to make sure I heard you right in your prepared comments. I think you said subsequent to quarter end, there were 2 transactions that were closed for $56 million of funding. Is that right?
Thomas Raterman : I think it's $64 million of funding.
David Spreng : $64 million, I think, yeah.
Melissa Wedel : $64 million, okay.
Thomas Raterman : But yes, close subsequent to the end of the quarter.
Melissa Wedel : Got it. Okay. Appreciate that. And then in thinking about a really active third quarter, is there anything we should be thinking about in terms of kind of the timing of those fundings and when they were added to the portfolio? I think sometimes we can see things get kind of skewed towards the back half of the quarter and maybe not fully contribute to the P&L. Was anything -- is there anything we should be aware of on that?
Thomas Raterman : As we always say, that deals tend to close at the end of the quarter and that was really true for the third quarter as well, and it was I think just a great testament to our origination team and the pipeline now that we're out of the box in the fourth quarter with two deals closing in the first month. But typically, and I would expect this will remain the case for the balance of the fourth quarter, that deals end up closing at the end of the quarter.
Melissa Wedel : Yeah. Understood. And if I could sneak in one last question. You mentioned your exposures in terms of industries in tech and life sciences and consumer. [Technical Difficulty] And thinking specific to consumer, given sort of the macro uncertainties out there, concerns about weakening of the consumer into '23, is there anything that you're looking at differently with your consumer-related companies or prospective consumer investments?
David Spreng : Well, expectation that we're going to be living through an economic downturn and that the business model of the company needs to be resilient to that. Obviously, we're going to spend more time ensuring that there is adequate capital to weather any storm. And we're not going to take excessive downstream financing risk. And it's one of the benefits of being, very often, the last money that the company needs before they exit or get profitable is that we can really do a lot of scenario analysis on how much it's going to take to get to that point. And so -- we've been historically consistently thoughtful and cautious about not doing anything that is an element of fad or subject to consumer whims and that kind of stuff. So really just continuing to focus on recession-resistant stuff, capital-efficient business models and world-class management.
Melissa Wedel : Thank you. 
Operator: Thank you. I'm actually not seeing any further questions in the queue. I'd like to turn the call back over to David for any closing remarks.
David Spreng : Thank you, operator. At Runway Growth, we're focused on building a high-quality portfolio that will generate stable and attractive long-term shareholder value. We have the team in place to execute on our strategy and deliver for years to come. Thank you all for joining us today and for your support.  We hope everyone stays safe and healthy, and we look forward to updating you on fourth quarter and full year results in March.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.